Operator: Good afternoon and welcome to AudioEye’s Second Quarter 2021 Earnings Conference Call. Joining us today for the call are AudioEye’s Interim CEO, David Moradi; Executive Chairman, Dr. Carr Bettis; and CFO, Ms. Kelly Georgevich. Following their remarks, we will open up the call for questions and the company’s publishing analysts. I would like to remind everyone that this call will be recorded and made available for replay via link available in the Investor Relations section of the company’s website at www.audioeye.com. Before I turn the call over to AudioEye’s Executive Chairman, the company would like to remind all participants that statements made by AudioEye management during the course of this conference call that are not historical facts are considered to be forward-looking statements. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for such forward-looking statements. The words believe, expect, anticipate, estimate, confident, will and other similar statements of expectation identify forward-looking statements. These statements are predictions, projections or other statements about future events that are based on current expectations or assumptions that are subject to risks and uncertainties. Actual results could materially differ because of factors discussed in today’s press release and the comments made during the conference call and in the Risk Factors section of the company’s annual report on Form 10-K, its quarterly reports on Form 10-Q and in its other reports and filings with the Securities and Exchange Commission. Participants on this call are cautioned not to place undue reliance on these forward-looking statements, which reflect management’s belief only as of the date hereof. AudioEye does not undertake any duty to update or correct any forward-looking statements. Further, management’s remarks today will include certain non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measures to these non-GAAP financial measures is available in the company’s earnings release posted in the Investor Relations section of our website at www.audioeye.com. Now, I would like to turn the call over to AudioEye’s Executive Chairman, Dr. Carr Bettis. Sir, please proceed.
Carr Bettis: Thank you, operator. Welcome, everyone and thank you again for joining us today. After the market closed, we issued a press release announcing our results for the second quarter ended June 30, 2021. A copy of the press release is also available in the Investor Relations section of our website at audioeye.com. I will now begin, just as we always do, with a brief overview of our business. AudioEye is a leading provider of SaaS-based digital content accessibility platform and solutions. Our mission: eradicate all barriers to digital accessibility. We pride ourselves in addressing the largest range of issues that impact many people around the globe. At AudioEye, we also do more than just identify accessibility issues. We fix, maintain and continuously monitor them. We also certify websites to demonstrate compliance with both the American with Disabilities Act, or ADA and the latest Web Content Accessibility Guidelines. Furthermore, we give our private sector clients an opportunity to gain an ROI from their investments in, commitment to, a large population of individuals with disabilities. Before turning the call over to our interim CEO, David Moradi, I will provide a few highlights around our Q2 2021 results. In the second quarter, monthly recurring revenue, or MRR, grew approximately 25% year-over-year to $2 million. In addition, we more than doubled our customer count in prior year Q2 to 75,000 and grew revenue 14% year-over-year to $6 million. Gross margin continued to expand year-over-year, reaching 74.9%, an increase from 69.6% a year ago. We remain proud of our customer retention rate. Our continued high retention rate speaks to not only the quality, stickiness and transparency of our solution, but to the excellent service that our team provides to our customers. Our balance sheet remains well capitalized, with zero debt and $24.8 million of cash at June 30, 2021. Regarding our two revenue channels, the Partner and Marketplace channel includes all revenue for our SMB-focused marketplace products and revenue from a variety of partners who deploy these same products for their SMB customers. These include content management system partners of all types, such as industry vertical partners like Dealer.com, recently announced partners like DealerCenter and platform partners like Duda and also general digital agencies. In the second quarter of 2021, this revenue channel represented approximately 56%, both revenue and MRR. As the second half of 2021 unfolds, we expect to continue to see this channel contribute the majority of our growth in customer count and ultimately in MRR. The enterprise channel continued to perform in the quarter, contributing approximately 44% of revenue and MRR. While non-recurring revenue from our PDF product was down from Q2 2020, recurring revenue from enterprise grew notably over the same period. We again added prominent enterprise brands from our direct sales efforts and continued to renew our enterprise clients at a healthy rate. Before turning the call over to David, I want to welcome Kelly Georgevich to AudioEye as our recently appointed CFO. Kelly has been a true pleasure to work with and has the experience and the skill of AudioEye during the next phase of growth. David?
David Moradi: Thank you, Carr. It is my pleasure to speak with you today. I want to start by welcoming a couple of our recent executive hires, our CFO, Kelly Georgevich and Chief Architect, Mase Graye. Kelly’s career has been focused on SaaS and technology and she was most recently the CFO at e-commerce platform, Sticky.io. She previously served as financial controller at software platform, Fuze and spent 7 years of her career in the audit practice at E&Y. She holds an accounting degree from the University of Northern Iowa and is a CPA. Mase Graye has a proven track record of leading engineering teams and delivering industry transforming products. He was most recently at Facebook, where he served as its product and technical lead for advanced workload and data management infrastructure, powering their next-generation advertising systems. Before that, he was one of the original architects at Oracle Cloud Infrastructure and led engineering teams at Amazon and several start-ups. As I’ve said on prior calls, one of the reasons I continue to be so confident about the bright future of AudioEye is the strength of the team, from top leadership to the quality of team members across all of the business functions. Simply put, our team is the strongest in the industry. In addition, we have the most advanced patented technology in a market, which we expect will grow substantially over the next few years. These factors all set us up for success in our mission to eradicate all barriers to digital accessibility. Now I’d like to review our progress year-to-date and outline how we see the balance of 2021 unfolding. I’m pleased with the second quarter results and our continued transition to a higher-margin, highly scalable SaaS company. All of our recurring revenue business lines grew sequentially from the first quarter, and we are investing further into R&D and sales and marketing to drive growth. I want to reiterate what I discussed on our last call: we are in a very strong position. First, the market for accessibility solutions is still in the early innings and growing. Second, our technology and transparent approach to solving accessibility for our clients are differentiated. Third, AudioEye’s platform is highly scalable. Fourth, we have exceptional talent to execute on our growth plans. Fifth, we are very well capitalized. Finally, and importantly, there are tangible reasons for us to be optimistic about what lies ahead. In addition to the 75,000 current customers we have in various subscription tiers, our current partners have several hundred thousand potential AudioEye clients that are not yet in our customer count. Moving on to guidance. As discussed in our first quarter conference call, our guidance for accelerating revenue growth in the back half of the year was based on customer conversions to higher tier offerings and new partnerships. While we have made significant progress in customer count, aspects of these initiatives rely on external time lines, which has led us to adjust our own. We remain enthusiastic about these growth opportunities, but since they are no longer tracking to our calendar year plan, we are converting our forecast to one quarter at a time. In terms of guidance for the third quarter, we believe revenue will be between $6.1 million to $6.3 million, representing 16% growth year-over-year at the midpoint. On the cash flow. In the first half of the year, we managed the business to have positive cash flow from operations while setting a foundation for future growth. Over the last 2 years, we have demonstrated the ability to manage costs when warranted, focusing on long-term shareholder value. Given the significant growth opportunity ahead, we are now increasing R&D and sales and marketing investments to capitalize on this market. As such, we expect to use cash in the second half of the year as certain initiatives unfold, with the view to revisit our cash flow investment program for 2022. It’s a great pleasure to turn the call over to our CFO, Kelly, to walk through additional financial results. Welcome, Kelly.
Kelly Georgevich: Thank you, David and Carr. I’m excited to be joining AudioEye and work with such a high-caliber management team, help continue to drive significant revenue and MRR growth and play a part in eradicating all barriers to digital accessibility. In my first weeks at AudioEye, there are two key observations that are worth noting. The team is hyper-focused on growing MRR, setting us up for continued long-term success. We are also focused and have excelled in customer retention. Carr already summarized most of the results and key metrics for the business, but I wanted to mention a few other items. In Q2, OpEx was $7.6 million, which was an increase of about 68% versus Q2 last year. This increase was strategic and was primarily driven by increases in R&D as we focus on product development and expanding our sales and marketing efforts. The increase in our G&A are mainly driven by equity compensation expenses. Our total R&D spend in Q2 was approximately $1.9 million, with approximately $600,000 reflected as software development cost in the investing section of our cash flow statement. This total R&D spend is about 32% of our revenue this quarter versus 10% last year and reflects the commitment towards investing their scale in this emerging market. Net loss in the second quarter of 2021 was $1.8 million or $0.17 per share compared to $1.4 million or $0.16 per share in the same year ago period. On a non-GAAP basis, our Q2 net loss was $1.3 million or $0.13 per share compared to the same year ago period of $0.2 million or $0.02. The primary adjustments to GAAP earnings and EPS for both comparable quarters were non-cash share-based compensation and, in Q2 2021, gain on forgiveness recorded in connection with the full forgiveness of our PPP loan. With that, we open the call for questions. Operator, please give instructions.
Operator: Thank you. [Operator Instructions] Now our first question will come from Zach Cummins with B. Riley Securities. Please go ahead.
Zach Cummins: Hi, thanks for taking my questions. Hi, Carr, David and welcome aboard, Kelly. I guess, David, just starting off, I mean, can you give us a sense of kind of what ended up happening with some of those major partners and kind of why we’re seeing this pushed-out time line at this juncture?
David Moradi: Yes, sure. Yes. As mentioned earlier, we are dependent on external time lines, which are pretty much outside of our control. Our partners have not ramped up as fast as we initially expected. So we’re going to take a more conservative approach by shifting to quarterly guidance. We still feel really confident we’ll get these opportunities and partnerships. This is just more based on timing. We did see growth in the quarter in each of our channels. In Enterprise, we had a good quarter. Agency and digital began to ramp up as well.
Zach Cummins: Understood. And just digging into that Enterprise channel opportunity, I mean, obviously, Q2 of last year had a lot of the PDF remediation revenue. But can you give us a sense of kind of the core growth rate within the recurring revenue in the Enterprise segment?
David Moradi: Sure. Kelly, do you want to take that one?
Kelly Georgevich: Yes. Growth in enterprise in recurring revenue was approximately 13% period-over-period in Q2.
Zach Cummins: And with MRR growth – is that the MRR growth in enterprise?
Kelly Georgevich: Yes. That’s MRR growth in enterprise. Overall MRR growth with all channels was 25% from – $2 million in Q2 2021 from $1.6 million in Q2 2020.
Zach Cummins: Understood. And David, I mean, do you plan to have any sort of changes into your go-to-market approach now that you have kind of reset expectations for the timeline for some of these other major partnerships?
David Moradi: No. I think this is just based on timing. We are going to do everything we have been doing, invest into R&D, sales and marketing people, and we think there is a massive opportunity in front of us. So, we are not going to change anything that we are doing. In fact, we are going to accelerate.
Zach Cummins: Understood. And then just a final question for me, I mean have you seen any kind of major changes in the overall competitive landscape? It seems like digital accessibility has become an increasing popular topic here, especially under the new administration.
David Moradi: Yes. There is definitely a little more competition. We like the competition. We have a differentiated and superior product as you know. It is the most transparent solution with an accessibility score, continuous monitoring and the highest level of automation. So, we feel very confident.
Zach Cummins: Understood. Well, thanks for taking my questions and best of luck here in the coming quarters.
David Moradi: Thank you, Zach.
Operator: [Operator Instructions] Your next question comes from Scott Buck with H.C. Wainwright. Please go ahead.
Scott Buck: Hi, good afternoon guys. Thank you for taking my questions. First, I am curious if some of these – or maybe absent the kind of pushed-out customer conversions, what the sales pipeline looks like. Are you still seeing a fair amount of engagement from potential customers or is this kind of slower pace more reflective of the industry as a whole?
David Moradi: We are still in discussions with all the same folks. And so nothing has changed from that respect. It’s just more – we don’t control the timing of when they do things.
Scott Buck: Okay. Yes. No, understood. And then second, some of the increased investments, I am curious whether we should be thinking about this as something more temporary over the next six quarters or is this reflective of a permanent change in the kind of cost structure of the business?
David Moradi: Okay. This is a massive opportunity here. The TAM in the market is probably about $250 million today total, with all the consultants and the digital side. We think over the next few years, we are going to see a $2.85 billion to $3 billion TAM. So, we are going to be investing into that.
Scott Buck: That’s probably David. I appreciate the color. Thank you, guys.
David Moradi: Thank you.
Operator: Your next question comes from Allen Klee. Please go ahead.
Allen Klee: Yes. Hi, for the new platform that you have put out, is there an issue – or can you explain in terms of the timing of signing up new customers, how long that takes?
David Moradi: If it’s on the marketplace on the website, it’s instant, and enterprise client is also very quick. A platform partner who is going to bring tons of sites is going to take a bit longer from an integration standpoint. That could take a few months.
Allen Klee: Okay. And it looks – is it – so you used to have – one of your guidance – one of your things that you – I don’t know what the term is, but you used to say that you would turn operating cash flow positive. I am not sure if it was for the year or for a certain quarter. But what are the factors that are going to cause that to now be negative in the second half?
David Moradi: Sure. Yes. We believe we are in the early innings of digital accessibility and expect that this market is going to grow rapidly over the next few years. So, we are going to invest to increase our tech leads, which we think is going to maximize the long-term shareholder value. We are already starting to see positive momentum from the sales and marketing investments we are making and expect to ramp up further there on the R&D side.
Allen Klee: Okay. Could you tell me what the share count is as of the latest time you have it?
Kelly Georgevich: Yes. As of August 6th, it was $11.3 million.
Allen Klee: Thank you. And my last question is just how much of – or how much do you have left of the ATM or how much did you raise during the quarter? And how much is left?
Kelly Georgevich: In March, we raised $16.5 million, and we did not raise again in Q2 2021. Total cash balance as of now is $24.8 million, and so it’s not bringing through it very quickly.
Allen Klee: Okay. Thank you so much.
David Moradi: Thank you.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Moradi for his closing remarks.
David Moradi: Thank you for joining us today. I especially want to thank our employees, partners and investors for their continued support. We look forward to updating you on our next call.
Operator: The conference has now concluded. Thank you for attending today’s presentation. Before we conclude today’s call, I would like to remind everyone that a recording of today’s call will be available for replay via a link available in the Investors section of the company’s website. Thank you for joining us today for AudioEye’s second quarter 2021 earnings conference call. You may now disconnect.